James O'Shaughnessy: Buenos días and good morning to everyone today. A warm welcome to all those taking part in our half year 2025 results presentation. My name is James O'Shaughnessy, Investor Relations. The presentation today will be led by Inditex's CEO, Oscar Garcia Maceiras; our CFO, Andrés Sánchez; and Gorka García-Tapia, Director of Investor Relations. [Operator Instructions] Let's take the disclaimer as read. Over to you, Oscar.
Oscar Maceiras: Good morning. Welcome to our results presentation. It's good to be with you all today. In the first half of 2025, we have again achieved a solid performance with satisfactory sales in a complex market environment and keeping strong levels of profitability. The efficient execution accomplished by our teams demonstrates the strength of Inditex's business model. This business model continues to be driven by our unique fashion proposition and increasingly optimized customer experience, our focus on sustainability and the quality and commitment of our teams. These factors continue to enhance our competitive differentiation. Our Spring Summer collections have been well received by customers. We had a satisfactory sales growth of 1.6%. Sales in constant currency increased by 5.1%. It's evident from the figures we are providing this morning that the execution of the business model has also been strong, reflected in the good gross margin performance and by disciplined cost control. At the bottom line, net income increased 0.8% to EUR 2.8 billion. This satisfactory performance has continued going into the second half of the year. Store and online sales in constant currency between the 1st of August and the 8th of September grew 9%. Our diversified presence across 214 markets in conjunction with a relatively low market penetration in most of these markets underpins our belief in the significant global growth opportunities we have ahead of us. This confidence comes from the fact that we have a unique model that permits us to build upon the increasing levels of differentiation we have seen in recent years. And now let's move to Andrés to go over the numbers.
Andrés Sánchez Iglesias: Thanks, Oscar. As you have seen in the report released early this morning, Inditex executed in a very consistent manner in the first semester of 2025. Sales performed well at plus 1.6%. Furthermore, by actively managing our supply chain, we have been able to generate a very good gross margin performance. In line with what we saw in the first quarter results, operating expenses in the first half have been closely monitored. EBITDA in turn increased 1.5% to reach EUR 5.1 billion. And net income grew by 0.8% to EUR 2.8 billion. On the top line, I'll point out that sales reached 1.6% to reach EUR 18.4 billion. In constant currency, that translates to 5.1%. We saw consistent growth in sales in our integrated model across both channels. At current exchange rates, we expect a minus 4% top line currency impact for the full year 2025. We enjoy a presence in 214 markets as well as a low market share in the vast majority of these markets. It should also be pointed out that the sector as a whole continues to be very fragmented. It is due to these factors that we see continued growth for Inditex over the medium to long term. In constant currency, all geographical areas had a positive sales evolution. In the first half of 2025, gross profit increased 1.5% to reach EUR 10.7 billion. The gross margin reached 58.3%. This gross margin performance serves as a demonstration of the good execution of the business model over the period despite a challenging market environment. Based on the data we have at our disposal right now, for the full year 2025, we expect a stable gross margin of plus/minus 50 basis points. As you can see throughout the half year, we have been able to maintain firm control over operating expenses across the business. Operating expenses increased 2.2% in the first 6 months of 2025. It is worth highlighting that the PBT margin came in at 19.6%. Operating working capital remains negative as a result of the business model. The development of operating working capital is very much aligned with the performance of the business over the period, as you would expect. In conjunction with the satisfactory operating performance we have seen in the first semester Inditex's inventory as of the 31st of July was 3% higher. It is important to note that the closing inventory at the end of the trading period was of high quality. As you can see from this slide, we continue to generate very strong levels of cash flow. Funds from operations increased 5% to EUR 3.7 billion. Capital expenditure reached EUR 1.3 billion, reflecting the ordinary and extraordinary investments in 2025, focused on ensuring future growth. Cash flow in the period was impacted by the calendar of payments coming from the normalization of supply chain conditions over the last year relating to the Red Sea. And now over to you, Gorka.
Gorka Yturriaga: Thank you, Andrés. As Oscar and Andrés have alluded to already, we are content with the performance of the group in the first half of 2025 and with the overall execution of the model over the period. The global rollout of the optimization program continues to take place. As per usual, we are, of course, referring to new store openings, refurbishments, enlargements and absorptions. It may interest you to know that sales in constant currency have been positive across all concepts over the period. To give you a taste of what we've been doing in the first 6 months of this year, Inditex opened stores in 35 different markets all across the globe. Each of the concepts with no exception, are participating in the global growth plan. We continue to expand our concepts into new markets. Stradivarius entered Austria in July with a store in Vienna. Tomorrow, 11th of September, Oysho opens its first store in the Netherlands in Amsterdam, Kalverstraat. Finally, Manchester Trafford Centre is a good example of our active store optimization program. Taking advantage of a large real estate opportunity, Zara and Pull&Bear have all relocated to new stores with larger footprints, while Bershka has opened its first store in the mall. We'll go into more detail as to some of these activities shortly. And now back to you, Oscar.
Oscar Maceiras: Thank you, Gorka. Our objective has always been to continually strengthen and reinforce the key pillars of our highly integrated business model. As has always been the case, our first priority is to enhance the appeal of our commercial proposition. After all, it is the creativity, innovation, design and quality of our collections that will determine our success going forward. Thanks to our more than 700 designers and our prototype teams, every meticulous detail in the design process is taken care of, enabling us to offer the highest quality fashion to customers in all corners of the globe. The end result of our unique approach is the integration of the physical with the online experience in a seamless manner that permits us across multiple formats to rapidly react to changing fashion trends and offer the latest collections. With our integrated store and online model, our teams have been able to take advantage of the growth opportunities we see across all channels, concepts and markets. Underlining this consistent level of growth are the new openings, enlargements and the refurbishments of stores in the very best locations, expanding into new cities and into new territories and launching new services that enhance the customers' shopping experience. As Gorka has already mentioned, in August, Zara relocated to a new store in Manchester Trafford, which has dedicated spaces for our collections, including Zara Athleticz, which offers customers a sportwear fashion for them. Another example is the recent reopening of our store in Madrid Serrano. This iconic location includes our third The Apartment, a new way of interacting with our customers. Also available in Compostela Coruña and [indiscernible] Paris that offers the premium part of our Zara and Zara Home collections in a highly curated way. The rollout of the soft-tag program at Zara was completed last year. This program adds to the existing in-store technology ecosystem with Click & Collect silos, assisted checkouts and drop-off points and sorters. We are using this as a springboard for the further integration of the online platforms with our increasingly digitalized stores for the years to come. The technology is being rolled out currently in Bershka and Pull&Bear. Within the bringyourbag initiative and thanks to the reuse of shopping bags by our customers, we have reduced their consumption in our stores by 49%. We are investing the equivalent full amount raised from charging for recycled paper bags and envelopes in environmental projects in over 30 countries, in partnership with non-profit organizations such as Conservation International and WWF. Recently, we have formalized a new program, in collaboration with the international environmental organization, Ocean Conservancy, aimed at the protection of marine ecosystems and biodiversity. This agreement, endowed by Inditex, includes the removal of more than 450 tonnes of plastics from beaches and areas of high environmental value, the collection of nets and fishing gear abandoned in the oceans and the promotion of zero waste projects for the collection and recovery of waste. With a view to Inditex's long-term growth potential, in the current year, we are planning investments that will scale our capabilities, generate efficiencies and increase our competitive differentiation. The growth of annual gross space in the period 2025 to 2026 is expected to be around 5%. Over this same time period, Inditex expects net space to be positive along with strong online sales. For 2025, we estimate ordinary capital expenditure of approximately EUR 1.8 billion. We continue to focus the ordinary capital expenditure on our global store base, the online platform and the rollout of technology programs aimed at enhancing the level of integration. As we have already shared in recent results presentations, given our view on Inditex's strong long-term growth opportunities, we are in the process of executing the logistics expansion plan set for 2024 and 2025. This 2-year extraordinary investment program, focusing on the expansion of the business allocates EUR 900 million per year to increase logistic capacities in each of the 2024 and 2025 financial years. The logistics expansion plan is on track. The Zaragoza II I distribution center is now up and running. Our centers have the highest standards of sustainability and cutting-edge technology. We focus on productivity and team well-being. In July, Inditex invested in Theker Robotics, a start-up developing AI-driven logistics automation. A brief reminder on the dividend. The final dividend payment for 2024 of EUR 0.84 per share will be made on the 3rd of November 2025. I would like to finish with a comment on our current performance. Autumn/Winter collections continue to be very well received by our customers. Store and online sales in constant currency increased 9% between the 1st of August and the 8th of September 2025 versus the same time period of 2024. Thank you all for attending this results presentation. That concludes our presentation for today. We will be happy to answer any questions you may have.
James O'Shaughnessy: [Operator Instructions] The first question comes from Geoff Lowery from Redburn.
Geoff Lowery: It's not often that Inditex comments on markets, but you've used the interesting phrase of complex. Can you help us understand more exactly what you mean by that? Is it what you're seeing from the consumer? Is it a comment on supply chain or tariffs? Sort of just help us understand this a little bit more, please.
Gorka Yturriaga: Thank you, Geoff. No, I mean, when we are talking about market and challenging conditions, we're really talking about the market as a whole. So you think of, for example, the tariffs and the trade wars and the consequence of the FX swings that we've seen over the period. So we're really just highlighting that. In any case, what we are also liking to mention is the fact that as you've seen the performance of the group in the quarter and the resulting gross margin, which we think is a good reflection of the strong execution of the unique business model that we have, we've been able to somehow overcome all of those headwinds. Thank you.
James O'Shaughnessy: The next question comes from Anne Critchlow from Berenberg.
Anne Critchlow: I had a question on Lefties because I believe it's stepping up expansion at this point. And I'm just wondering if there are any regions or countries where you think Lefties wouldn't be relevant and which countries and regions are the focus of store openings in the short to medium term?
Gorka Yturriaga: Great. Thank you, Anne. I mean with regards to Lefties, we've talked about the fact that it already has an international presence. It originated with more focus in its heritage markets of Spain, Portugal and also Mexico. Currently, it has presence in 18 markets, and we are testing Lefties in a series of other markets. We've also reported today, as you've seen in the note, that Lefties currently has 210 stores versus last year's store count, which was about 198 stores. So we're just growing as we are with all concepts with a lot of opportunities that we see on a project-by-project basis. Thank you.
James O'Shaughnessy: The next question comes from Monique Pollard from Citi.
Monique Pollard: My question is just coming back to this point of the strength of the gross margin in the second quarter or stability over the first half. I guess, as you point out, given the headwinds from the tariffs, et cetera, that has come in quite a bit better than expected. Just wondered if you could talk a bit about what you have done to manage the tariff impact, if there have been some consumer-focused price increases in the U.S., negotiations with suppliers, et cetera.
Gorka Yturriaga: Thank you, Monique. Great. So with regards to tariffs, I think, first of all, I'd like to say that the current environment is difficult to predict, and we're, of course, continuously monitoring the situation, and it's quite fluid. We generally feel that as a company, we have 3 key tools at our disposal. And I think we've talked about this in the past. First of all, you have to consider that we are a global company and, therefore, we have a lot of experience with related to tariff regimes and changes of tariff regimes. The second one is one point that we always highlight that we have a very broad-based diversification, both in terms of sales as well as in the sourcing. And I think this is a great advantage for us to manage all of these issues. And then finally, of course, the flexibility of the business model, which is also leveraged on that proximity sourcing that we always highlight. I think that with regards to the tariffs in the U.S. specifically, we have a stable pricing policy that we're always talking about. And of course, all pricing activity, be it in the U.S. or any other geography is primarily driven by commercial decisions, not financial ones. And what we try to do in every market is maintain our relative position. So with all that in mind, we're quite confident with regards to the gross margin guidance for the year of plus/minus 50 basis points.
James O'Shaughnessy: The next question comes from Sreedhar Mahamkali from UBS.
Sreedhar Mahamkali: I guess if you could talk a little bit about online versus stores. Clearly, last couple of years, online has been growing considerably faster than stores. Do you think that is to continue? And as a result of the space growth we see this year is a good proxy for the medium term as well, please?
Gorka Yturriaga: Great. Thank you, Sreedhar. As you know, we have a fully integrated business model. And the reason I mentioned this is because it's difficult to think of online growth without the physical store presence. So you really have to see it as a whole and not try to separate both channels as for us, really, we feel that it is one a consequence of the other. If you think of, for example, online sales without a store or store sales without online, it's difficult for us because of that fully integrated business model. I think what you should consider is that we continue growing and we see great opportunities of growth in both channels, in all markets and throughout all concepts.
James O'Shaughnessy: The next question comes from Warwick Okines from BNP.
Alexander Richard Okines: Perhaps you could just talk a bit more about the growth in the Americas region in the half. And in particular, just going back to March 2023 when you said that you'd have at least 30 expansion projects in the U.S. over 3 years. Are you on track to meet that number?
Oscar Maceiras: Thanks for the question. Well, the growth of the group is broad-based across all regions and concepts. And as you know, in the U.S., it's a very relevant market for us, and we continue to see opportunities to keep on executing that strategy of selective growth in the market. In 2025, we remain very active in the U.S. In June, for instance, we relocated to a new flagship store in L.A., The Grove with significant more space and upgraded customer experience. Some additional projects have already been executed, including another openings, Boston CambridgeSide Mall or relocations, New York Hudson Yards. More projects for the rest of the year will be new openings, Las Vegas Forum Shops at Caesars. Our new Zara Man stand-alone store in Costa Mesa. Or enlargements like Boston Newbury or Austin, Texas. For 2026, we are planning very relevant initiatives, refurbishments in iconic stores like New York Fifth Avenue, new openings for instance, the 400 Post Street, our new flagship store in San Francisco or the opening of the store in Charlotte that will imply the opening of our state #26 with stores in the U.S. And of course, all of them combined with solid -- very solid performance of our online platform in the states. We keep on exploring new opportunities for sure in the market for our different formats. Thank you.
James O'Shaughnessy: The next question comes from James Grzinic from Jefferies.
James Grzinic: Congratulations. Just had a quick one. I appreciate your guidance around gross margin. But I was wondering, when I think about the timing of supply chain cost deflation, FX tailwind building on sourcing, product cost deflation, should I be thinking that these start property building in the current autumn/winter ranges that are hitting the stores now? I would be curious on your thoughts about that dynamic and the timing of that, please?
Gorka Yturriaga: Great. No, that's a good question. I think from our perspective, what we see is that, in general, the demand of our collection has always been driven by the ability of us to be able to execute the business model. And so that's how we're thinking about the second half of the year. I get your point with regards to, for example, FX, but you have to also consider that though we do have a sourcing in U.S. dollar, we have somewhat of a natural hedge on the sales side as well, which is what gives us a little bit of a confidence when we're talking about a stable gross margin of plus/minus 50 basis points. Thank you.
James O'Shaughnessy: The next question comes from Richard Chamberlain from RBC.
Richard Chamberlain: I just had a question on working capital, please. I wondered if you could just explain the drivers of the working capital outflow that you've seen in the first half in the cash flow statement, in particular, the change in current liabilities, it's an EUR 811 million cash outflow by the looks of it in the first half.
Andrés Sánchez Iglesias: Thank you for your question. As we explained during the presentation, this decline was driven primarily by the normalization of our supply chain conditions over the last year related to the Red Sea. So this has led to more normal payments during the period compared to the same period of last year. And this is, as we had explained during fiscal year 2024 results, would also explain why inventory levels have also fluctuated over the last 2 years, a slight shift in timing. This impact will normalize next year. Thank you.
James O'Shaughnessy: We're going to move over to the webcast questions now. There's a couple of questions -- a few questions we've had today. The first of which relates to the new flagship store in Manchester. You recently opened a new flagship store in Manchester. Can you give us some color on this and your general view on the U.K., please?
Oscar Maceiras: Thanks for the question. Well, the U.K. is, of course, a very relevant market for us. We continue to see very good opportunities to keep on growing both for Zara and the other concepts in different locations. After recent relevant projects in cities like Liverpool or Birmingham and our recent flagship stores for Pull&Bear, Massimo Dutti, and Oysho in Oxford Street, London, we have taken advantage of our large real estate opportunity in Manchester Trafford Centre, as we mentioned during the presentation. And this opportunity is allowing us to expand our Zara store over 40%, relocate Pull&Bear, open Bershka; and in the coming months, also to relocate our Stradivarius store. The experience of our customers has significantly improved as we are offering our different collections with a state-of-the-art technology that includes silos for online orders and returns and assisted checkout areas. For 2026, we will continue to be very active in the U.K. with plans, for instance, to refurbish some of our iconic stores in London, such as our Zara stores in Bond Street and Brompton Road. Thank you.
James O'Shaughnessy: Thank you, Oscar. The next question on the webcast platform relates more to the younger concepts. Can you explain why some of the younger concepts have been growing quite so strongly recently, provide some color.
Oscar Maceiras: Thank you. Well, we are happy with the performance of our different concepts, of course, including Zara. Our other concepts are performing very well with the ambition of further diversifying our customer base and our product offering. We continue to see additional good opportunities to expand their presence in new markets. We have just mentioned during our presentation 2 examples, the arrival of Stradivarius and Oysho to Austria and the Netherlands with the opening of our new stores in Donauzentrum, Vienna and Kalverstraat, Amsterdam. Another example is Denmark for Bershka that is about to open its first store in that market after having a very positive feedback in recent openings of the first stores in Sweden and India.
James O'Shaughnessy: The next question relates more to the technology systems within the stores. Can you provide some more detail on the store technology ecosystem, including sorters, please?
Oscar Maceiras: As we have mentioned during the call, we are executing many projects to improve the customer experience in our stores, thanks to the rollout of soft-tag technology. Some of these projects involve customer-facing technology like assisted checkouts, Click & Collect and drop-off points. Customers feedback, as I have just mentioned, with the example of Manchester Trafford has been very positive with an increasing level of adoption in the different markets. We are also introducing technology that impacts and improves the experience of our team behind the scenes in the stores. And one of these technologies, which we are rolling out in the stores are our sorters that support some processes that are key in order to make as quick as possible available to customers products that are temporarily outside the commercial floor in the stock rooms or fitting rooms or when new products arrive.
James O'Shaughnessy: The next question on the webcast platform relates to the trading update. We had a good trading update of 9% going into the second half of the year. Can you provide some color on this, please?
Oscar Maceiras: Thanks for the question. Well, I guess that's obvious that we are seeing a positive evolution throughout the year. First quarter plus 4% in constant currency; second quarter, plus 6% in constant currency. And this morning, we are providing a trading update for the first 5 weeks of the third quarter, plus 9% that reflects an acceleration of the sales. We remain confident about the year ahead and, as always, focused on increasing the differentiation of the business model. The results that we have announced this morning demonstrate the strength of the model that, as we mentioned, in a complex environment keeps with high levels of profitability.
James O'Shaughnessy: Thank you. And that concludes the webcast questions for today.
Oscar Maceiras: Thank you to all of those participating in the presentation today. For any additional questions you may have, please get in touch with our Investor Relations department, and we will welcome you back in December for the 9 months 2025 results.